 Operator: Greetings, and welcome to the iMedia Brands Inc. Fourth Quarter and Full Year 2020 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now my pleasure to introduce  Corporate Controller. Thank you. You may begin. Unidentified Company Representative: Good morning, everyone, and thank you for joining. We issued our Q4 earnings release earlier this morning. If you do not have a copy, you can access it through the News section of our IR website at imediabrands.com. This release is also an exhibit to the Form 8-K filed this morning. I would also like to remind everyone that this call will be available for replay through April 06, 2021, starting today at 11:30 A.M. Eastern Time. A webcast replay will also be available via the link provided in today’s press release, as well as the IR section of our website. Tim Peterman: Thank you, Monty. I would like to begin this morning reiterating that iMedia Brands continues to be focused on taking every step it can during these uncertain times to keep its employees, vendors, customers, guests and their families safe. Q4 2020 was another strong report card for us. Q4 net revenue was $125 million, an increase of 1% compared to the same prior-year period. Q4 adjusted EBITDA was $8.4 million a $17.5 million improvement compared to the same prior-year period and Q4 new customers grew by 12%, the highest growth rate for this metric in seven years. Regarding our Q4 balance sheet, cash was $15.5 million, a $5.2 million improvement from the same prior-year period. As a reminder, the company's debt structure today is composed of a credit facility that provides a $75 million line of credit subject to a borrowing base and a term loan that matures in July 2023. At of the end of Q4 2020, the company had $41 million outstanding on it's line of credit, which was a 24% decrease or $13 million compared to the same prior-year period. In addition, the company had $12.4 million outstanding on its term loan at the end of Q4, which was an 18% decrease or $2.7 million compared to the same prior-year period. Our Q4 inventory balance was $69 million a 13% decrease compared to the same prior-year period. Regarding capital expenditures, during the quarter, we spent approximately $1.2 million on capital projects, reflecting primarily the investments and upgrades to our website and infrastructure. Operator:  Thank you. Our first question is coming from the line of Tom Forte with D.A. Davidson. Please proceed with your question. Tom Forte: Sure. So Tim congrats on the quarter and the year. I've one question and one follow-up. So first my question you sort of touched on this in your prepared remarks, but can you talk about TheCloseOut website and Christopher & Banks, how those initiative fit into your overall vision for iMedia brands? Tim Peterman: Tom Forte: Very helpful. So then for my follow-up Tim I wanted you to remind you to remind investors of how the pandemic has impacted iMedia and talk about your ability to generate sales growth on top of last year's performance? Tim Peterman: Maybe the best thing to do is just look at the metrics as we answer that question. So I'll start with merchandising mix. As we all know last year in Q2 the hot levels moved out pretty dramatically and there were all sorts of different issues going on with customers as everybody was navigating in their own personal journey through this pandemic and as we began to shift and move in a way that we felt would be best for our shareholders and really our customers, we began to offer a bit more health product home test for our customers, again all of these things around the idea that this is an evolution of telemedicine and telehealth being accelerated by the current COVID situation. Operator: Thank you. Our next question comes from the line of Mark Argento with Lake Street Capital. Please proceed with your questions. Mark Argento: Just a couple of quick ones. We've got the Christopher Banks particular and the Shaquille deal in the third quarter I recall you’ve kind of almost operating to pull these transactions with your brands. Do you see the opportunity to do more of those types of transactions that one of two a year, is there an opportunity to watch on a bigger portfolio? And then just a follow-up on the balance sheet, it looks like your mentioned nice improvement obviously through the capital raise recently, but maybe talk a little bit about the balance sheet, how you like to see that play out over the next year in terms of continuing to pay on free cash flow or balancing that with reinvestment, thanks? Tim Peterman: So yeah, I think what you're starting to see with Shaquille and with Christopher Banks is our strategy unfolding. So the strategy of using this 100 million home national platform of ShopHQ to drive the opportunities for even a brick-and-mortar opportunity like we're doing with Shakeel obviously available in over 1700 target and Sam's Club stores, we started to figure out how to do that and do it well and then in addition to that, using our scale package ship platform, our sales force, we have a very strong consumer experience platform. All of those elements make for when you have a brand that has the kind of power, I guess would be a lack of a better word like a Shakeel kitchen product, then we can use our assets to really build it like no other brand can do it, like no other company can do it because we have both the front end of the promotional power scale television and then the back end fit back and ship the digital platform all of the other elements that are critical. So we take knowhow and now we partner with Hilco and we're doing Christopher Banks. The reason why I mentioned the partnership with Restore Capital is that they are a good, strong group of operators that are constantly in the flow of all these of opportunity and so it's a partnership that we expect as partners to replicate again and again when it makes sense. So when I say, when it makes sense, there has to be reasons. Christopher Banks, we shared the same customer file. Christopher Banks, they had all of these different elements of a very strong business and everything that we had from the traditional media and backend services that are much like expensive to do, we did immediately complement them on and share the upside with our customers as well. Our customers are very interested with ShopHQ in the Christopher Bank' proprietary styles, proprietary print, all the different things that go back and forth. So there were reasons why each of these brands makes sense for us to give an unfair advantage for growth. That doesn’t mean all brands that come across our table, our brands that we're going to pursue because we're going to be very selective about it, but yes, I think they we're demonstrating that we have a model here because of these -- of our particular group of assets that can really do a lot for brand when that brand makes sense for iMedia. So that is yes, something that we expect to do more of. So regarding the -- before I move on to balance sheet, Mark let me just see if that answers your question. So the balance sheet, let's talk about the balance sheet that's next hind side I'd say that we gave enough attention of the glorious work that we did in 2020 from taking down the our line of credit, moving net down, it was a significant move as well as our term note, let me set the table as I did in the prepared remarks. We really have T&T which is a great partner, we have a $75 million line of credit set to a borrowing base and then a term note. And we did move down significantly the borrowing base -- not the borrowing base, the outstanding balance and the term loan until. And so when we think about as we move through 2021, we will be opportunity, but we don't believe that we like paying interest as a matter of process but we don't think zero debt is the right answer either. So we'll continue to look at what the optimal mix is. Certainly the equity raises that we did do were each for a distinct reason and they weren’t designed to pay down 100% of our debt. We were certainly working with the last fall's raise and really focusing on improving the payment terms for some of our existing vendors that we thought would give us an unfair advantage at different margin opportunities and other ways to make sure that with continuing to flow the business and with these vendors that we like so much. So that was the first part. In its second raise, what we're really focused on is not so much again the raises for anything but working capital but if working capital was designed reason, we talked about in my prepared remarks about how we want more high-definition distribution for our -- each of our television network. So as folks talk about the linear 24X7 landscape, often what everybody would jump through immediately is the difference between the MSO ecosystem, the MVPDs and the internet based ecosystem call that the OTT of Over the Top, but in between that, particularly for customers who are our customers that starts move up, there is the high-definition neighborhood and what we are focused on as we move into 2021, is there are certain markets that we do not feel are high definition penetration is high enough and we're going to go after those and the way to go after those are obviously around different payment terms and things like that. So we want to make sure that we have the balance sheet to make those big changes and we have demonstrated evidence as we've done this in the past when we move in a market particularly a top 10 market through our HD carriage, it drives 20%, 30% growth in productivity in that market over time. So it’s something that we're very bullish on and the reason I'm saying that before we move from MVPD at these standard definition to OTT, we do also have evidence that more and more customers today are hanging out in the HD neighborhood. They're just not moving out of it and that's accelerating over the last call it 36 months and that's such an important priority for us in 2021. So the balance sheet, the cash that we're using will be deployed for opportunistic growth in revenue and in margin rather than just a complete pay down of debt if that answers your question? Operator:  Our next question is coming from the line of Alex Fuhrman with Craig-Hallum with Alex Fuhrman. Please proceed with your questions. Alex Fuhrman: Well thank you for taking my question and congratulations on a tremendously strong year and turnaround. I wanted to ask about the new brands that you launched on the ShopHQ platform from a merchandising perspective and it certainly seems like the caliber and quality of the brands that continues to improve and it sounds like from your commentary that they're contributing more to your business, the new brands have historically. Can you talk a little bit about typically what does the maturity curve like when you launch a new brand? Is there kind of a honeymoon period, upfront when you do a big promotion that phase or does it take maybe a year or two to build and then just curious as you start to bring in bigger and better brands that you’ve been doing, do they kind of fit the curve that you’ve seen in the past, maybe at a higher level because they're bigger brands or have they been maybe evolving differently than typically when you launch new brands? Tim Peterman: Alex sure, so let's take a step back and say when we talk about new brands, the reason that you saw so many from us last year and how it was 20% of our revenue, it takes some time. So all the back half of '19 we are developing building these brands, fighting brands, if they're less distributed or exclusive to us and then we're launching them in 2020. That really hasn’t happened. When we think if a new brand that is anything over $5 million is a successful new brand launch and there has been quite some time really 2014, 2015, since we were able to do that and so that was the top priority for us in '19 to make sure that we produced in '20 and there is no magic, her or no magic expectation on how you can anticipate the growth of a new brand. It really comes down to the vendor and the merchants involved in building the brand. So for example, Invicta's has been around for most of our 30-year's history and the reason that that brand remains relevant and did so well each and every year is it had a vendor, a leader AL that continually offers a new style and new wave to do new products and in that market it's that constant innovation and so what we did in 2020 is we tried to partner with vendors in different areas whether that's in building with a logic tele marker or  of in home different areas. We're trying to partner with vendors that understood that concept, that understood that it's really not about one product being launched and hoping that it's going to do well for the next five years. It's about that constant blocking and tackling of new product development. So why we feel good about the brands we launched in 2020 as we did it with the vendors that have a point of view, that have an aggressive notion of how they want the brand to build and have a realistic expectation about the types of product assortment by price spend and by value that they're going to continue to have to build in order to be relevant on this platform Great example of the MacKenzie-Child a brand that is available in other places that very not large distribution and they have a great team that's constantly building new products and not only new products in their core areas tabletop and home, but in different fragrances, in different areas that we've collaborated together to say listen, we've a wide space here, it's amazing brand, what about this migration into this area? So that to us is all about the vendor relationship and the product assortment and that with Kathy who runs our beauty and jewelry and fashion and Lee who runs our runs our home as well as Dustin and  all of them all -- all of those leaders in our merchandizing area know that when they're bringing a brand on, we have certain policies and expectations where we use towards the company with common brand on and throw in market for an hour and say hey, I hope it does well. Today we're saying listen there is a three to five hour minimum, that means that we as an organization just can't launch a brand where we're just not sure enough or not committed enough out to just put it out there for one hour. So we organize differently to give any new brand we do put on there a better chance of success. It is those fundamentals of why we think that the lifecycle of the new brands that we're launching will actually help pave the recent history that the company is faced with its new brand launches over the last six years. So let me stop there and see if that answers your question on the new brands Alex. Alex Fuhrman: That does. That's really helpful Tim. And then I wanted to also ask if I could, just however maybe it makes sense to explain, can you kind of help us size up the health and wellness opportunity here. It was great to see that your strong fourth quarter results were driven by number of categories and not just health and wellness. I think that certainly speaks to strength of the customer file and your overall business. But now that we're in hopefully the final innings of the pandemic or at least the second half of the game here, how do you think about that opportunity three, four, five years out, when presumably sales of facial covering and things like that will be where but does that make be take a little bit of the urgency off the category or again just trying to think about how you view that business three, four, five years out, when the pandemic is in the rear view mirror? Tim Peterman: Sure Alex, we've dug into it even before the pandemic. So yes, I agree with you a 100%. Let me start with the affirmative, which is the -- what specifically would you say -- we would say UV lighting, some of the products around that, that has an acute lifecycle and a shorter lifecycle because just the product development in those areas are going to so fast that it won't be big of an area for us as it was in Q2 of last year. But as you look at even the mix within health that you always see from just Q2 to Q4, we're much stronger now fitness and health, mental health. There is all sorts of genetic, spiritual, financial, there is so many element of telehealth that we are planning for 2021 that notion of COVID-related products is nothing more than one of six or seven or eight other categories that we're focused on within that health arena. So it's not -- I wouldn’t say it's an unusual category and I'll say there will be categories that come and go based on seasonality, There will be products that come and go based on flu that year. We think about our home testing opportunity it's just about COVID testing. There are so many different types of home testing and treatments and things that people are more comfortable in buying in a direct to consumer environment than they do even going to their doctor. So we're still very bullish on the health category and don't use the drop in the COVID-related items that anything more than a blip. It really isn’t something that we are considering a bump in the road as we continue to grow both in number of distribution in homes, in streaming service in health and they don’t always have to be the things that we're selling to people. What we talked about considerable products, there is an information layer that we're very interested in as it relates to all of our entertainment services. So for example in health, there are Q&A types of opportunities, doctors that can rise the podcast by no means a coincidence. The information that people are seeking today on a many to many basis, is something that we're going to capitalize in health as well. So now it's going to be about physical products, and you will see more of that from us as we roll out 2021. It's exciting in a lot of ways but I'll stop there and see if that answers your question. Operator: Thank you. There are no further questions at this time. I would like to hand the call back over to Tim Peterman for any closing comments. Tim Peterman: Thanks everybody again for their time this morning. I'd like to welcome the new businesses that we just brought into the family here at iMedia Brands. Certainly the close out team Mauricio and Bristow  appreciate everything that we're doing very day and certainly with the Christopher Banks team, Kelly  are saying thank you again as well as our new partners with Ben, Ian and Dan, I do think fits for banks is a very big thing for us. If you think about there were $100 million digital platform in revenue last year, it is something with a just such a great customer base that we're already interacting with and we're really excited about what we're calling the virtual stylus within the Christopher Banks' arena and also doing that with our core shop HQ customer as well. So we'll talk about that in Q1. But thank you everybody for your time and we'll talk again soon. Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a great day.